Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter 2020 Wabash National Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your first speaker for today, Mr. Ryan Reed, Director of Investor Relations. Thank you. Please go ahead.
Ryan Reed: Thank you, Ann. Good morning, everyone. Thanks for joining us on this call. With me today are Brent Yeagy, President and Chief Executive Officer; and Mike Pettit, Chief Financial Officer. A couple of items before we get started. First, please note that this call is being recorded. I'd also like to point out that our earnings release, the slide presentation supplementing today's call and any non-GAAP reconciliations are all available at ir.wabashnational.com. Please refer to slide two in our earnings deck for the company's Safe Harbor disclosure addressing forward-looking statements. I'll now hand it off to Brent to get us started with his highlights.
Brent Yeagy: Thanks, Ryan. Good morning, everyone, and thank you for joining us today. I'd like to start by giving some high level perspective on the last eight months and highlight why within Wabash National we are so positive about what we've been able to demonstrate through this challenging time, and why we feel confident about the company's prospects going forward. From the beginning of the COVID pandemic, I've watched our people come together to embrace the deliberate changes necessary to adapt to the new environment we find ourselves in. Our people have worked tirelessly across our operations to continue safely producing equipment to satisfy customer demand, while also adapting the organizational and operational changes necessary to align our internal structure to our revised strategy. This process comes down to the dedication and talent of our people, which speaks to the positive and collaborative culture we work to foster every day. As I previously mentioned, the health and safety of our people is our top priority. And on that front, we're very pleased with the incidents of workplace spread of COVID, which has been extremely limited. At the onset of COVID, we are faced with multiple unknowns. Our team has methodically worked through to keep our people safe and then ready for the company for the growth as inevitably coming following a trough year. Thanks to our product portfolio diversification, customer conditioning and improved business processes, we have achieved financial performance across a broad array of metrics that is night and day different from previous trough period performance for Wabash National. The three quarters of 2020, we have limited detrimental margins to the mid-teens, generated positive EPS and produced meaningful free cash flow. We have leveraged the natural disruption during COVID to rapidly reorganize our business to be more -- to be more agile internally, to ensure talent flows to the areas of highest need without being constrained by organizational barriers. At the same time, we have structured ourselves in a way that makes us easier to do business with for our customers, who buy across our portfolio of first to final mile products. And all these benefits come with the opportunity to eliminate $20 million of redundant costs in our new structure, a task we completed during the third quarter. We entered this downturn with a well-positioned balance sheet and a further short up, which we have further shored up. Some might even have said -- say improved. Our capital structure with a prefinancing of our term loan, which moves our nearest debt maturity from 2022 to 2025. We have proven that Wabash National is a more resilient company than in prior cycles, a result, we took -- we look to continue to improve upon in future cycles, as we look to raise both trough and peak levels of our performance. While we're proud of what we've accomplished thus far in 2020, we are even more excited about how we have positioned ourselves going forward. Agile financial performance has allowed us to retain the core talent within our organization, so that we can hit the ground running, as market demand improves. Industry forecast currently show an increase in total trailer demand in 2021. Wabash National is taking the appropriate steps to be able to serve our customers in that environment by evaluating our shift structures in various locations. That said, the labor market is unlike anything that we've seen before, a 10% rate of employment or unemployment now feels more like a 3% rate of unemployment. For a multitude of reasons, labor has become exceptionally difficult to find for many -- for many companies. So we are taking diligent steps to serve our customers to the fullest extent possible in 2021 knowing that there are likely to be some headwinds of -- to full utilization of physical capacity. As we, our customers and our suppliers all navigate this very unusual labor market together. We remain in close contact with our supply base, particularly as it pertains to their ability to ramp into a growth year. At this time, the supply chain understands the demand outlook and is preparing to the fullest extent possible for increased volumes. Our supply -- our suppliers will face the same struggles for labor as Wabash National, but we have continued to improve our supply chain, and we are confident that we are better positioned than our competition. Moving on to our customers, there has been a very bifurcated experience among the customer groups during -- among our customer groups during 2020. So I thought it might be helpful to spend a moment to walk through the forces that various segments of customers have been feeling, as it relates to demand conditions. For simplicity, we'll break customers into two distinct buckets those that are professional and those that capitalize on -- and well capitalized freight carriers and those that are not. Professional freight carriers have done a truly an admirable job of keeping critical goods moving throughout our country during the very uneven times earlier this year and even now when carrier capacities to move freight is stress there [ph]. Freight carriers in general have seen market conditions rebound very nicely throughout the course of 2020 and are well positioned to continue to refresh their equipment. Our second set of customers encompasses non-professional freight carriers. These customers move goods primarily for delivery to the end customer, as an ancillary piece of their business, whether it's a flower shop, a dry cleaner or an appliance store, delivery is a necessary component of their business, but not their main business. This is where COVID has had a more negative related impact, which is primarily focused on our Final Mile segment. These businesses tend to deliver as an auxiliary part of their business and many of these customers may not have been classified as essential businesses during the state mandated lockdowns. As such demand in the Final Mile segment has remained below breakeven levels in 2020. We remain optimistic about demand trends in Final Mile going forward, as we've seen e-commerce accelerate, as a percentage of retail sales this year. The weakness that we've seen in demand for Final Mile equipment this year will reverse over coming years, as these customers, who are most harshly impacted by COVID get their feedback underneath them. We are also directly experiencing the reality that our customers are looking forward to leverage the opportunities presented by the further disruptive acceleration we've seen in home delivery since the onset of COVID. As with most cycles, the segments that follow the harvest also rebound the quickest. And we believe we've seen early indications of demand firming up in the Final Mile segment for 2021 with an additional strong focus on forthcoming years of needed innovation and equipment needs. Moving onto our backlog for context; large deal season tends to start in the August time frame give or take with committed orders being placed September through January. So there is a strong seasonal component to ordering activity specifically in our vans business. For the [ph] last five years, we've experienced normal seasonal declines in backlog from Q2 to Q3, as bulk -- as the bulk of these orders were placed in Q4 within that -- those period of years. In 2020 we've seen a 37% increase in our backlog from Q2 to Q3. The rapid order intake is indicative of strong freight market conditions, as we enter into 2021. We have seen our market share expand as expected in 2020 because of the regularity of our specific customer portfolios order patterns and the inherent strength and implicit demand for our premium product portfolio. This goes to validating our strategic premise that we possess products of choice within the markets we choose to play with that. Our ability to expand share from the high teens to mid-20% range has been aided by the availability of physical and supply chain related capacity that was not -- that was constrained in 2018 and 2019. As we look forward to 2021, we seek to position our first to final mile portfolio, as the one-stop solution for our customers. We're making moves to address our manned capacity for increased output knowing that labor rather than physical capacity is likely to be the most significant constrain across a vast array of manufacturers in 2020. Before closing, I'd like to say a few words about our new organizational structure. By being in place, we have seen the early benefits experienced throughout many aspects of our company. As I've mentioned on our last call, we have pivoted our strategy, which now centers around being the first to final mile equipment provider to customers and transportation, logistics and distribution markets. Our product portfolio has grown over time and we felt that a meaning -- that there was a meaningful opportunity for improvement by moving from a product centered organizational structure to a customer-centric model that prioritizes ease of doing business for customers, who may want to buy across our portfolio and also conveys benefits from these closer customer linkages, as we evaluate -- evaluate product improvement and innovation activities. While the structure is still very new, I see early wins coming from this approach both internal and external to Wabash National. Internally, I see that talent is flowing [ph] to projects that are of the highest priority for Wabash National, not necessarily the highest priority within a given segment. The elimination of SBU silos have enhanced our collaboration and the speed at which we're able to collaborate within ourselves and with our customers. We've been able to move faster in our new structure, even as many of our employees continue to work remotely. Externally, the way our commercial team has been empowered to engage customers across our portfolio is in the very early days, as we work through the first large deal season with this -- within this organizational structure. But the conversations occurring with customers have a different term, and we believe we're positioning ourselves well as a strategic equipment partner for our customers rather than just a traditional basic supplier relationship. Let me close by saying that I have learned more about the resilience of our people and our portfolio during 2020 than any other year, the last eight months have been a true challenge, and our company has responded exceedingly well.. Myself and my team are focused on the longer term and the creation of value for our shareholders, as well as near and long-term interest of our customers and our people. However, we do seek to achieve a fair valuation based on our breakthrough performance demonstrated during a time that has significantly tested the business that we have created. I understand historically the modest multiple in our EPS or EBITDA has certainly been influenced by Wabash National's difficult performances during prior trough periods. Our historical trough performance is something that we've been diligently working on over the last decade, and we feel strongly that we proved a lot through 2020. Agile and purposeful cost management leading to decremental margins in the mid-teens, substantially positive EBITDA and free cash flow generation and maintaining our dividend through -- through this trough, all serve as proof that Wabash National has created structural and foundational improvements in its operating model and its business processes. All of this has been achieved by doing what works for our customers and our people, as we continue to evaluate opportunities that strengthen our value proposition, while enhancing our financial performance in both cycle troughs and peaks and all phases in between going forward. Lastly, I'd like to mention that we've been working hard through all these distractions that have come with COVID to put Wabash National's first sustainability report on the board, which we look to issue in December. Environmental Social and Governance topics are something that we've been focused on internally for some time and it's time that our public disclosures caught up with our internal efforts because we have a great story to tell. I have a hard time thinking of many other companies that are so uniquely incentivized by the opportunity to make our products more environmental friendly. They are products that positively impact the sustainability of our food chain, as well as aid in the productions of medicines, vaccines, foodstuffs and everyday living. From Wabash National's beginning, we've been focused on helping our customers achieve improved fuel economy by taking weight out of our products, we're also making them more durable by -- by leading in material technology innovation within our industry. We look at social equality and the opportunity to leverage a diverse workforce not only is the right thing to do, but is a business imperative that generates superior ideas that enhance business decisions and also serve as a competitive differentiator. This also allow -- this also flows into the governance, has enhanced diversity on our Board of Directors, has certainly enhanced the range of perspectives of our Directors, which has been useful in the short term, as our Board has been generous with their time helping us navigate through 2020 and also in the long term, as we have now down our refreshed [ph] strategic direction. As I've mentioned, we have a great story to tell when it comes to ESG, and I'm truly excited about the resources that we've put behind telling it going forward. With that, I'll hand it over to Mike for his comments.
Mike Pettit: Thanks, Brent. I'd like to start off by giving you some color on our third quarter financial results. On a consolidated basis, third quarter revenue was $352 million with consolidated new trailer shipments of approximately 8,450 units during the quarter. Revenue was fairly steady with the prior quarter and improved as the quarter progressed. Third quarter gross margin was 12.3% of sales during the quarter, while operating margin came in at 2.4% on a GAAP basis or 2.7% on a non-GAAP adjusted basis. Third quarter gross and operating margins were the strongest since the fourth quarter of 2019. The improvement in operating margin was made possible by our cost savings efforts that have structurally reduced our SG&A footprint. Compared to -- compared to the third quarter of last year, SG&A expense was reduced by about $6.2 million or about 18% when adjusting for expenses associated with our new term loan debt facility, which we closed in Q3. Although some of the year-over-year reduction in SG&A was achieved through reduced incentive compensation and other one-time actions. We would still expect 2021 SG&A to be $15 million less in 2019. I'll address that more, in more detail in a minute. Consolidated decremental margins in the third quarter was very good at 13%. Operating EBITDA for the third quarter was $24 million or 6.8% of sales. Finally, for the quarter, GAAP net income was $3.9 million or $0.07 per diluted share. Non-GAAP adjusted net income was $4.7 million or $0.09 per diluted share. From a segment perspective, commercial trailer products performed very well with revenues of $227 million and operating income of $19.7 million. CTP's decremental margin during the third quarter was about 11%, which is a phenomenal result achieved through purposeful cost control. Average selling price for new trailers within CTP was just about 27,000, which represents a 1% increase versus Q3 of 2019. Diversified Product Groups generated $72 million of revenue in the quarter with operating income of $4.2 million. DPG's decremental margin was also very favorable at 14% year-over-year in Q3. As we discussed in our last earnings call, Final Mile Products continues to operate below breakeven volumes, as COVID has impacted demand in this segment differently than other end markets. FMP generated $55 million of revenue during the quarter with an operating loss of $4 million generating decremental margins of just 16% [ph] during the quarter. FMP's third quarter EBITDA was a loss of $400,000. Gross margin of 8.8% does represent a 490 basis point improvement from Q2 and 920 basis point improvement from Q1. Focused manufacturing cost control drove the improvement in gross -- on the gross profit line, and we will see significant improvement in segment EBITDA, as revenue increases in 2021. Year-to-date, operating cash flow was $107 million and we invested roughly $14 million via capital expenditures leaving $93 million of free cash flow. We are now targeting $20 million to $25 million in capital spending for 2020, a slight increase from previous guidance as better visibility and strong cash generation have allowed us to progress with some near-term opportunities to reinvest in the business. With regard to our balance sheet, our liquidity, our cash plus available borrowings, as of September 30 was $383 million with $216 million of cash, and $167 million of availability on our revolving credit facility, which is fully untapped. In terms of working capital, approximately $49 million was freed up during the third quarter with a reduction in accounts receivable and an increase in payables combining to drive that change. We continue to make good progress on our efforts to free resources from non-core assets. While timing is difficult to pin down on many of these items, we have successfully closed on the sale of our Columbus Ohio branch location. The closure occurred in Q4 of 2020, and this is indicative of our shift in strategy, as we close -- as we closed our last remaining retail trailer sales location. We look forward to provide a more thorough update on our strategic growth initiatives on our year end conference call. With regard to capital allocation during the third quarter, we utilized $10 million to pay down our high yield notes, invested $2.8 million in capital projects and paid our quarterly dividend of $4.3 million. As I mentioned earlier, while discussing capital expenditures, our improved near-term visibility and demonstrated strong cash generation, our capital -- our capital allocation focus is now shifting to increased reinvestment in the business through growth CapEx. While also continue to -- continuing to prioritize maintaining our dividend and more actively evaluating opportunities for debt reduction and share repurchase. Moving to the debt structure; we successfully refinanced our term loan during the third quarter. This eliminates a 2022 maturity and pushes it out to 2027. The new debt facility is also covenant light with no -- with no material financial covenant. So while we reduced the balance on our high yield notes by $10 million during the quarter, our new term loan was up sized by $15 million compared to the prior facility, resulting in a small total debt increase of $5 million during the quarter. We would expect to resume our trend of lowering our total net debt in the near term. It is also important to note that our net debt -- that our net debt level the $250 million actually decreased by $75 million versus Q2 and $110 million year-over-year; this is the lowest net debt level Wabash has recorded since 2017. Looking forward to the fourth quarter of 2020, we expect revenue to pick up slightly relative to Q3. We expect year-over-year decremental margins in the mid-teen for the fourth quarter, as we continue to benefit from cost savings actions taken in conjunction with our strategic reorganization. Those decrementals are unlikely to be as low as Q2 and Q3 with furlough activity now in the rear view mirror. With slightly increased interest expense of approximately $6 million to $6.5 million in the fourth quarter, we expect EPS to be around breakeven levels in Q4. We've referenced 2021 with regard to growth in our backlog and the actions were taken to ready ourselves for a year of volume growth. While it's still too early to give formal guidance on what we expect for next year, we would like to mention a few items that should help in modeling 2021. Starting with market conditions, third-party forecasters expect total trailer production to increase on a percentage basis anywhere between the low teens to the low 20% range in 2021. We believe a percentage increase in the middle of this range should be appropriate for our revenue. As material costs have been on the increase and labor cost is most certainly not indicative of 10% unemployment, we do expect to show moderately higher pricing in 2021 in order to offset these cost headwinds. With regard to our $20 million cost reduction target, we're excited about the structural savings we've been able to achieve, as part of our strategic organizational realignment and the external benefits that accompany a new customer-centric structure. With cost actions completed, our analysis show that the savings should split roughly 75% from SG&A, and 25% from COGS. It's also important to clarify that the $5 million per quarter run rate savings will flow through relatively cleanly in Q4 of this year. But because of furlough activity and other one-time reductions have significantly reduced our SG&A base in 2020. We do lose a basis for a clean year-over-year comparison. Our best estimate at this time is for $125 million to $130 million of SG&A expense in 2021. And we will update this on our next call, as we finalize our look forward into next year. While we're talking about both incremental and decremental margins for the company being in the 20% range on a normalized basis, the base on which we are calculating incremental margins for 2021 will have considerable furlough savings included, which will serve to depress incremental margins. We are targeting incrementals in the mid to high teens, as we look forward to growing revenue and operating income in 2021. With the changes to our debt structure, we expect total interest expense to be $20 million to $26 million in 2021 or about $6.5 million per quarter. From a cash perspective, it's normal for working capital to kind of use of cash, as volumes grow throughout the business, as inventory expands and accounts receivable increase. We continue to look for opportunities to drive structural improvements to working capital. Though in the short term, we expect working capital consume $25 million to $35 million of cash in 2021. In closing, I'm proud of the financial results we've achieved, and more importantly, our focus on keeping our people safe and the rapid actions we took to protect our business. Our third quarter builds upon the strong financial performance we've shown during this uneven time. Decremental margins have been excellent. We have positive EPS through the first three quarters, and our free cash flow generation has now have been exceptional, but has meaningfully raised the floor relative to prior trough performance. As our backlog improves, and we achieve better visibility into future market conditions, we look forward to ramping up capital expenditures to support our future growth initiatives, while maintaining our dividend and becoming more active with debt reduction and share repurchase. With that, I'll turn the call back to Ann, and we'll open up for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Justin Long from Stephens. Your line is now open.
Justin Long: Thanks. Good morning and congrats on the quarter.
Brent Yeagy: Thank you, Justin.
Justin Long: So Mike all the commentary on 2021 was really helpful. I wanted to circle back to what you said on incremental margin. So it sounds like next year, they will be in that mid to high teens range just because of the COVID-related comps. But beyond that has the framework for 25% incremental margins changed at all, given some of the structural initiatives that you've implemented this year?
Mike Pettit: Yes. Yes. Just to reaffirm the first part of your comment or question is, yes. They will be lower in 2021 because of the furlough activities and one-time actions. And because we have a structural cost reduction, I would expect them to improve, as you look at 2022 compared to 2021 and I don't want to break out exactly how much that would be. We'll continue to give guidance, as we go forward. But you would expect to see what we've talked about 20%, 20% plus incrementals because of the saving should be achievable, as we go into 2022.
Brent Yeagy: Yes. And the one thing, I would say is, we've got to $20 million savings run rate. It goes into '21 -- 2021 before far from done working on our business as we move into 2022 and 2023. And we'll talk more about that in the calls, as we continue to execute on that plan.
Justin Long: Okay. Great. And then I wanted to circle back to final mile as well. And I was wondering if you could help unpack some of the commentary in the prepared remarks on the customer mix there. Anyway to help us think through, how much of that business is tied to a central customers versus non-essential. And any thoughts about the revenue that we need to see in that segment in order to get that business to breakeven?
Brent Yeagy: Yes. Justin, I will take the first half of the question, Mike will follow-up. So when we look at the -- the call general customer groupings that we serve, well over 50% of the total customers fall into that non-professional carrier grouping, whether they run through a lease or rental group or whether they buy direct from Wabash National or through a dealer, the vast majority is by far impacted by COVID. And bluntly, the majority that move through the -- so for our -- call our big lease channel, whether it would be Ryder or Penske are also going to be impacted primarily by COVID as well. So it is -- it is a significant -- it is a very significant portion of the final mile group. And it somewhat goes when we put the companies together that we've acquired since 2012 from a diversification standpoint, I think we're having things play out somewhat like we should have. And what I mean by that is -- in this specific set of situation, the dry van business has been relatively steady. We've been able to perform based on the conditions on the ground. In this case, the final mile group may impacted by an out of the blue black swan pandemic has a disproportional impact, right. That it -- it sounds like it's a negative, but really it goes to diversification going forward. So I don't expect the next trough to have a pandemic attached to it. It's just the reality of what we have today so.
Mike Pettit: Yes. In terms of breakeven, Justin, I think it kind of depends on which line of the income statement you want to look at, but we were real close to breakeven EBITDA in Q3 at $55 million of revenue and SMP. I would expect that it would take about $20 million more than that, call it $75 million a quarter, $300 million a year to get to breakeven on the OI line. But at that level, we would have pretty solid positive EBITDA and that's because we run quite a bit of amortization from the acquisition through that P&L. So you could see a situation, where it's generating cash even if it's not while with [ph] profitable on the OI line.
Justin Long: Okay, that helps. And then just one last quick one. Mike, you mentioned the working capital changes you anticipate next year, but in the fourth quarter, do you anticipate any major changes in working cap?
Mike Pettit: Yes. We're going to start ramping in Q4 for 2021. So you would expect to see probably use our working capital in Q4. I would say it would be in the $20 million to $30 million range would be a good general thumb [ph] in Q4 as we ramp into 2021.
Justin Long: Okay, great. I'll leave it at that. Congrats, again.
Mike Pettit: Thank you.
Brent Yeagy: Thank you, Justin.
Operator: Thank you. Our next question comes from the line of Ryan Sigdahl from Craig-Hallum. Your line is now open.
Ryan Sigdahl: Good morning, guys, and congrats on the nice bounce back in the business and recovery results.
Brent Yeagy: Thank you, Ryan. Good morning.
Ryan Sigdahl: Anything -- so we've seen a very nice recovery in orders, anything you can comment on backlog order trends, customer conversations etcetera in October kind of post quarter?
Brent Yeagy: Well, I mean, we finished the -- the end of the third quarter with -- was approximately $1 billion in backlog. You've seen the order intake, as represented by ACT and FTR for the month of September. The -- what I would say is that the internal activity in October, the discussions that we're having -- continue to have with customers are, I would say generally in line with what September represented. And I think if you draw a connection to the working capital increase that you see in the fourth quarter, I think we're going to look at 2021 absolutely being a relatively significantly improved year from 2020. The only caveat I have got to that is, we're all going to play through the supply chain and labor constraints that we will -- we'll all work through as a group of manufacturers during the first half of the year. And that's -- that's one of the reasons we want to not give guidance until we somewhat see, where we're at in the next three months.
Ryan Sigdahl: Good. And then just on final mile for 2021 expectations. You mentioned trailer production kind of the industry forecast versus low teens to low 20s good kind of mid-point there. Directionally, is that a decent benchmark for FMT, you're going to have an easier comp, but also it sounds like some greater headwinds and longer headwinds there. So just to put stakes [ph] directionally if you can comment there would be great?
Mike Pettit: Okay. Yes, I think that's -- I think the general range that we gave for the trailer industry is going to be similar for truck body bodies, year-over-year, we. Will see as you mentioned, we'll have favorable comps on 2020. But we also have -- we'll have a lot better flow of chassis in that business in 2021 than we had in 2020. So nice -- nice improvement in that business and the top line is certainly expected.
Ryan Sigdahl: Good. Last one for me, then I'll turn it over. Just in FMP, you commented kind of on the non-professional customer mix being little over 50%. Can you breakout that segment what is. And I know it's difficult, but kind of partial e-commerce delivery, which maybe some of the smaller classes have a bigger mix of. But what percent of truck bodies goes to that versus whether it would be flowers or dry cleaners or the other kind of mix of customer base there? Thanks.
Brent Yeagy: That is -- that's a little bit more difficult to do because we don't necessarily know exactly what's going to be moving through our large leasing and rental channels that fall into that. It would be a -- it would be a [indiscernible]; and there is a lot of moving pieces that go into it. The only analogy or experience that I can give you, give you to the complexity of it is just on personal experience and some of our research is that we're seeing a significant portion of Ryder, Penske pence related equipment showing up in e-commerce related deliveries to fill voids that are present today with existing assets. So whether it would be Amazon, XPO or whatever big and bulky you're trying to get delivered. We're seeing that equipment moving into that space that we -- when that order came in, we built for it that it necessarily have an e-commerce ticker on the side of it? Absolutely not. So it's difficult to say, but it's probably higher than might any estimate, I would give you.
Ryan Sigdahl: Fair enough. Difficult question. I appreciate the commentary guys. Good luck.
Brent Yeagy: Yes. Thanks, Ryan.
Operator: Thank you. Our next question comes from the line of Jeff Kauffman from Loop Capital Market. Your line is now open.
Jeff Kauffman: Thank you. Good morning and congratulations, everyone.
Mike Pettit: Thanks, Jeff.
Brent Yeagy: Thank you..
Jeff Kauffman: So just a couple nuance things. You talked about the SG&A savings yet, there was a sequential jump of almost $5 million in SG&A on only about $13 million or $14 million total sales jump. I understand there might have been some debt financing costs in that number. But can you help me back into that sequential increase a little bit?
Brent Yeagy: Yes. Sure. The sequential increase. Jeff is almost 100% driven by all of the furlough activity we had in Q2. So we had a significant number of one-timers in Q2 on the SG&A line. As a reminder we took the whole company down for four weeks most of that was in Q2. The last week was the last week of June -- sorry, in June 29th, some of that spilled into Q3, but that's a big difference. And that's why we tried to -- we've really tried to lay out how much of this, we think is structural versus one time actions. I would estimate in our total business, they are is somewhere in the $25 million range or one-time cost reduction actions that we saw in '20 -- on the operating cost savings that will flow between some between SG&A, and some in operating cost that would -- hit in 2020 that won't repeat in 2021, which is why we try to kind of breakout how much we think structural versus one-time.
Jeff Kauffman: Okay. And when you gave the guidance of $125 million to $130 million in SG&A in 2021; you're talking about both line items, right, the selling expenses line and the G&A line?
Brent Yeagy: Yes, yes.
Jeff Kauffman: Okay. Okay. So the consolidated number you're forecasting $125 million to $130 million next year based on what you know today.
Brent Yeagy: That is correct.
Jeff Kauffman: Okay. Can I kind of walk through the thoughts and I know it's too early to forecast, but I just want to follow the math here on 2021. So you said there is a range of improvement from the mid-teens to the mid 20% range you'd kind of take the middle of that, just for argument sake. So if I take the ACT data and bump it up 20% that's implying about 230,000, 235,000 units, give or take. If I take a look at your normal market share of the total, it would be about 18% of that give or take, little less than that right now, which would imply something between 41,000 and 42,000 units to the company next year. Is that sound like too big a number because that would imply you're raising production from about 8,000 units a quarter right now to probably in the 10,000 to 11,000 unit range for next year?
Brent Yeagy: I would say, Jeff on the numbers that you have linked together there that math probably holds true and the way that you described it.
Jeff Kauffman: Okay. And it's not your forecast, I'm just thinking out loud with what's out there?
Brent Yeagy: Yes. It's a logical flow of numbers.
Jeff Kauffman: Okay. Great. Can you give us an update on your progress with the new products we can talk about the new product up in Minnesota, we could talk about the implementation of some of the new DuraPlate products bringing into market. Could you just kind of give an update on where you're with that? Did COVID delay any of that? And where are we on the roll out of some of these new products?
Brent Yeagy: Yes. So we have fully commercialized launched our Cell Core product in 2020, and we have substantially penetrated and changed over from standard we'll call DuraPlate sidewalls into the enhanced Cell Core panel through a large portion of our customer base and that -- that was a fairly easy pull through and it's met our expectations accordingly. There is a host of other small improvements within the van business itself that I won't go into, but we're generally pleased with what went on there. When we look at molded structural composites, the technology, I would say COVID has had some impact on, we'll call it innovation pull through on the reefer van standpoint, two reasons. One, just -- it's just a generally depressed reefer market and not necessarily in the middle of a pandemic that asset managers are looking to call, put their neck out there with new and innovative technology. The discussions and the pilots continue to be present. We are approaching 6 million miles on the road. So we are exponentially growing exposure. So the interest is still there. The market doesn't necessarily give us the absolute best situation right now. We think that's going to improve going forward specifically with the drive towards sustainability within the -- the reefer space, we're getting a substantial amount of inquiries really coming off of the zero-emission MSC product van that we put out in California, which I think is generally people are aware of it. That has kicked off a flurry of activity both within the van business and within final mile products about our ability to provide truly sustainable and innovative refrigerated products using a combination of technologies. So we're pretty excited about that, and I can't get into the customers that we're talking to, but it is exciting on where we're at with that. The other thing that we're doing is we are more fully moving the molded structural composites technology into a final mile products platform to serve that space, as we look to strategically grow cold chain market share/revenue over the next couple of years. So that has been generally well received. We think that's going to be an easier place to conquest and convert accordingly, and we're kind of moving some assets there. We think that's the I'll call the soft underbelly of where we can kind of grow exposure to product.
Mike Pettit: Yes. I'll just add and Brent mentioned it there, but the introduction of that technology into our new customer centric organization design is a nice pairing there because you've got a technology that plays across our whole portfolio first to final mile products. Now, you have a sales organization that's designed to sell across that whole portfolio of products.
Brent Yeagy: Yes. It's -- it is the -- one of the premier examples of when you take the -- we'll call the invisible communication carriers that exist in a segmented organizational design, and you -- I'll call it, modernize it to look at it for the customer. All of a sudden those technologies now become truly capable of being scaled and talked about in every aspect of our customer portfolio. So it is really exciting about the feedback we're getting right now in terms of zero emission, sustainability, molded structural composites, cell core panel, just -- it's just keep going, right. And it is -- we're pretty pleased with where we're at right now.
Jeff Kauffman: Okay. Thank you for that answer. One last question. Mike, you talked a little bit about CapEx, working capital change, dividends kind of the focus on net debt next year and then you kind of threw out treasury stock again and we haven't had any of that since first quarter. I guess just kind of thinking through after all that you mentioned, it's kind of implying about $30 million to $35 million in cash for debt pay down and treasury stock next year. Do you look at the targeted net debt level on an absolute dollar basis? Do you look at it more as a function of debt to EBITDA in deciding where you want to be and kind of I'm thinking more about treasury stock here. Is your thought just to get back to more of an anti-dilutive purchase or do you think maybe a little bit more aggressive like you were in the previous years.
Mike Pettit: Yes. So on the net debt, we do look at it from net debt to EBITDA. And what I'll tell you is, if you look at where we're at right now, $250 million and put [indiscernible] range of numbers that we've been talking about for 2021, you've got a pretty healthy level of net debt to EBITDA in 2021. So we feel pretty good about our leverage ratios. And then we start looking at -- when we look to buy stock, we look at that from a perspective what we think the valuation of the company is going for including how we think that we can perform in the next several years. And so, we have -- if you look at 2021, as the market starts to firm up, we start to have visibility, we'll evaluate, where we think we stand and how we can grow, continue to grow cash not just in 2021, but in 2022. I think Brent mentioned a lot today about 202 is going to be -- we're still in a COVID world. So manpower becomes a challenge and getting people in to do what we need to do; so we'll continue to evaluate. And as we -- as we -- as we get confidence in our ability to -- to add capacity and look to market in 2022 that will play into our -- into our just kind of math, so to speak of share repurchases and those could become attractive based on what we see over the next 18 months to 36 months.
Brent Yeagy: Yes. Jeff, you don't mind, I'm going to take your question a little bit further and just point out that when you look at the balance sheet, I know you do and how it's relatively constructive at this point and the strength that it possesses, you know, that sort of balance sheet like those coming out of trough has never existed in any recent history with Wabash National; it didn't exist in 2001 and 2002, it didn't exist in 2010, right. And you know how the company has performed. The ability of doing interesting things with the balance sheet that's been constructed very diligently over the last couple of years gives us the ability to accelerate, do things earlier, and we'll call it the cycle and truly look at building the company at a different pace than may be how previous troughs have allowed us to do. We're excited about what that story will be, as we go through the next couple of years, and the way that we'll leverage that balance sheet going forward. Wabash has never been in such an advantageous position as it is right now.
Jeff Kauffman: So I guess, loaded for bear is my interpretation. That's a great answer. Thank you. Guys, thank you, and again, congratulations.
Brent Yeagy: Thanks, Jeff.
Operator: Thank you. Next question comes from the line of Felix Boeschen from Raymond James. Your line is now open.
Felix Boeschen: Hey, thanks, good morning, everybody.
Brent Yeagy: Good morning, Felix.
Mike Pettit: Good morning.
Felix Boeschen: Hey, Brent, I was hoping you could flush out the comments around lack of labor availability, may be a little bit more. Can you maybe walk us through how you guys are thinking about it just seeing your capacity into 2021, as it stands right now. And then as you're talking with customers, are carriers are worried at all about locking in build slots at this point. Just -- just any sort of color there would be helpful?
Brent Yeagy: Yes. I'll start with the latter. I think in general, we do see across the industry a concern about the timely availability of product throughout the first three quarters of 2021. I think our customers have been through this type of ramp up multiple times right, whether it's '17, '18, '14 to '15, right '04 to '05, these -- these -- we know what this looks like. Is it -- we are aware that after trough, we see a precipitous climb and high level acceleration in demand. So it is a very delicate balance and making sure that we serve the customers in the best possible way to give them equipment that they need, when they want it. Now for us, it's not a physical capacity issue. And generally, what we're going to find that from a labor standpoint, labor issues for us aren't necessarily as much an internal problem. We'll call it in the first half of the year is much more of labor within the supply base. The supply base has to move first to enable right -- OEM manufacturers, the initial labor influx goes there, and they've been ramping now for, we'll call it six weeks, right. As orders begin to come in, rough -- rough capacity planning begins to change, and they're bringing shifts online, right now. We'll be watching how those shifts come online through the end of this year and through the first quarter of 2021 and that's the constraint that we'll be basing our labor off, right; so that we do manage our costs, right, from a variable cost standpoint to meet what we believe the constraint within the industry will be. For us, we'll be looking to increase capacity roughly through the entire year. The supply chain will get their legs underneath them. The question will be where that would be. But as an industry, we'll be ramping all year. But we do expect 2022 to be generally higher than 2021. I think that's from a general consensus standpoint I'd say to say. So our build rate we look to climb accordingly. So we have two things we have to -- or a couple of things we have to deal with. We have to deal with an inherent COVID related, we'll call it impact on available workforce -- on the available workforce, meaning the workforce that is installed at Wabash National, right. So we're going to work through -- we all are going to work through -- all manufacturers are going to work through that through the winter months to see what that looks like, right. And the more COVID effect we have as a general manufacturing industry, the more drain, we're going to have on available labor in the plant. Coupled with that we have to understand what's going to happen with any stimulus package that may or may not come about in the first quarter post-election, and what that does relative to enhanced unemployment benefits that may or may not occur and what that does to the workforce, okay. And that's why we really need to get through the next call two quarters to get a clean view of what labor availability will be for Wabash National really for the mid-summer going into the second half of the year. We fully expect to add shifts and ramp all year moving into 2021. And I think what you're going to find we're going to do it in a much more diligent precise manner to manage the variable cost in a way that provides superior performance.
Felix Boeschen: Okay. That's very helpful. I really appreciate that. And I was just wondering if we could circle back on final mile for just a second. It sounds like, just from a margin perspective, you guys are improving I'm going to say core efficiency gain sequentially, I know engineering inefficiencies were kind of a problem a few quarters ago. Could you kind of give us an update on where that stands or is it mostly just the volume problem right now kind of being dragged down by the non-professional mix. Just -- just any additional color there would be helpful.
Brent Yeagy: I would say today, what we're looking at is primarily just the COVID impact on the top line right now is probably the predominant factor in FMP performance that will take care of itself. We have very substantially addressed the engineering capacity and through capability within FMP. We have shifted top resources into that group to structurally change. And we have made significant improvement, very measurable improvement in the last two quarters that had -- where we see that occurring primarily is in variable cost reduction enabled manufacturing. That's really the primary measure when we look at the ability of when engineering is working well and on-time and material flows and labor flows more effectively that drops right to the variable cost line, and we see that occurring just as we thought we would.
Felix Boeschen: Okay. That's helpful. And then just last one for me, maybe for Mike. But you referenced getting back to more growth CapEx levels. Can you clarify sort of what that growth component would -- may be incorporate, is that mostly around new product launches.
Mike Pettit: Yes. It would -- it could be new product launches. It could be facilitating [ph] in existing locations for new products will probably be the biggest driver of CapEx versus like an R&D developing the products. But some of the products that Brent and I mentioned that are coming to market, if you wanted to build a MSC truck body, it would -- could require some CapEx allocation. So things like that could drive -- that would be a good example of a growth CapEx item that we could be looking at in 2021 and 2022.
Felix Boeschen: Okay. Thank you. I appreciate it.
Brent Yeagy: Thanks, Felix.
Operator: Thank you. Next question comes from the line of Joel Tiss from BMO. Your line is now open.
Joel Tiss: Hi guys, how it's going?
Brent Yeagy: Good. How are you?
Joel Tiss: All right. So a lot of the questions have been kind of focused on the volume side, and I just wonder if you can give us a couple of the other pieces on the sort of the structural change side. And I'm thinking more like -- like actions that you've been taking to improve your gross margins over time, pricing power, is there a little bit more because you're closer to your customers, is there a little more potential to get more pricing than just wage and raw material cost increases and stuff like that. Can you give us just kind of that side of the equation a little more? Thank you.
Brent Yeagy: Yes. Let me try to put a couple of things together there without giving, what I would call too specific an answer. So with the organizational restructuring that we're doing to create one experience for our customers, right really remove friction, we're looking deeply at both. We've looked at our finance organization in order to enable our commercial group. We're actively involved and working through a revised commercial structure to facilitate a one Wabash approach to selling, specifically around customers that we think we'll provide substantial value, and they provide substantial value to us. So when we do something like that coupled with what we call our Wabash management system, we have in conjunction key initiatives, which we call annual improvement priorities to work on things like pricing -- pricing methodology -- pricing methodology coupled with enhanced demand plan. All of those things specifically in a ramp year go to the maximization of price and the maximization of profit going into any rolling period. So when we restructure we put all those things together to create a better business outcome, right. And you're seeing [ph] early indications, right, in 2020, we'll look to continue that into '21, '22 and beyond, as we wrap it all together. There is no one initiative, it is the -- our system is based on interlocking changes to create impact.
Joel Tiss: Okay. That makes a lot of sense.
Brent Yeagy: Yes.
Joel Tiss: All right. Yes, that was -- yes, that was mostly what I was trying to get at. And another one, just can you give a little characterization on the increase in the backlog. I know you said it's normally fourth quarter, this time, it's third quarter is that nervousness from -- from the customers or is that -- that the customers are expecting a lot more demand going forward, and so they want to get a jump on reordering?
Brent Yeagy: Well, I think anytime you see 30% changes in spot rate going -- second quarter to third quarter, you get the attention of the professional carriers, right. So and bluntly we -- our portfolio has been structured to have the most professional of the professional carriers. So when they see that type of environment, and then they look out and believe depending on who you talk to that can last for 18 -- or 18 months to 24 months depending on who you talk to, their buy signal is pretty literal at that point and they can see it early. So when you're sitting there in the July, August timeframe, they are typically doing their cap -- early capital budgeting in July, so they kind of know what they need to do. And with that type of environment, they're willing to pull the buy signal in the August, September timeframe. Is it panic? Is it, no, not necessarily. That is a -- that initial pull is very prudent, very well thought out initial buying decisions. Now what comes later when you get into -- as built slots begin to build in, right, then we start to get a little bit of, oh dear God, I need to get us a slot, right. And we're -- we're starting to experience that a little bit, right. So we're working through that accordingly. But it's a -- that initial September number was real decisions going on.
Joel Tiss: All right. That's awesome. Thank you so much.
Brent Yeagy: Yes. Thanks, Joel.
Operator: Thank you. And now I will turn the call back to Mr. Ryan Reed.
Ryan Reed: Thanks, Annual. And thanks, everyone, for joining us today. We look forward to following up with you during the quarter. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.